Operator: Welcome to the ScanSource quarterly earnings conference call.  [Operator Instructions]
 I would now like to turn the call over to Mary Gentry, Treasurer and Director of Investor Relations.  Ma'am, you may begin. 
Mary Gentry: Thank you, and welcome to ScanSource's earnings conference call for the quarter ended December 31, 2012.
 With me today are Charlie Mathis, our CFO, Gerry [ph] Lyons, SCC's Finance and Principal Accounting Officer, Scott Benbenek, President of Worldwide Operations, and Mike Baur, our CEO.  We will review operating results for the quarter and then take your questions.
 Certain statements made on this call will be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.  These statements are subject to risks and uncertainties and could cause actual results to differ materially from such statements.  These risks and uncertainties include but are not limited to those factors identified in the release and in ScanSource's SEC filings.
 Any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date.  ScanSource undertakes no duty to update any forward-looking statements to actual results with changes and expectations.
 We will be discussing both GAAP and non-GAAP results during our call.  And have provided reconciliations between these amounts in our press release.
 Mike Baur will now begin our discussion with an overview of the quarterly results. 
Mike Baur: Thank you, Mary, and thank you for joining us today.
 Our sales results varied by business unit and by geography this quarter.  We had increases in certain business units, typically driven by higher big deals and decreases in others.  Net sales for second quarter, 2013, totaled $748 million within our planned range though at the low end of that range.
 In North America, our POS and bar code unit and our Communications unit had record sales quarters.  We had solid year-over-year sales growth for 3 of our 4 North American business units, POS and bar code, Communications, and security.  In total, net sales for these 3 business units increased 8%.  And higher big deals contributed to our sales growth.  However, sales did decline in our other North American business unit, Catalyst Telecom with the end of our distribution agreement with Juniper and lower than planned Avaya enterprise sales.
 International net sales for the second quarter, 2013, declined 9% from last year or a 4% decline when you exclude the impact of foreign currency.  Despite this decline, sales were better than planned in our European business units.  And our team in Mexico had a record quarter.
 As previously announced, we made some personnel changes in Europe during the quarter.  We named Buck Baker, President of ScanSource Europe for both our POS and bar code and our Communications business units on an interim basis.  Buck started his new role in early January in Brussels.
 During the quarter, we had $2.1 million in one-time cost to comply with local Belgian tax matters.  These costs included the replacement of certain personnel in our Brussels office, associated severance costs, tax accruals, and related professional fees.  These costs had a $0.05 per share negative impact on our GAAP diluted EPS of $0.59.  So for the quarter, we ended up with $0.64 for our adjusted diluted EPS, a non-GAAP measure that excludes these costs.
 Now for a few comments on our ERP project.  In January, we filed a lawsuit against Avanade, our former ERP implementation provider alleging fraud and performance failure in leading and delivering a new global ERP system for the company.  We believe we have a very strong case.  We have since hired Tata Consulting Services, or TCS, as our new ERP implementation partner.  And the initial phase of the TCS engagement is underway.  With TCS on board, we are moving forward with our ERP project, which uses the Microsoft Dynamics AX system.  Meanwhile, we will continue to use our legacy ERP systems without disruption to our business.
 Now I want to introduce Charlie Mathis.  Charlie is our new Chief Financial Officer.  He joined ScanSource in mid-December and brings extensive financial leadership and international experience to the company.  We're delighted to have Charlie as part of our team.  With that, I'll turn over to Charlie to discuss our second quarter financial results in more detail. 
Charles Mathis: Thanks, Mike.  And it's great to be here.  Let me start with the revenue.
 Net sales totaled $748 million in the second quarter, 2013, a 4% decrease from the prior year and a 2% increase from the September quarter.  North America sales decreased 3% year-over-year.  While international sales decreased 9%.  Excluding the impact of foreign currency translation, international sales decreased 4% year-over-year.
 POS, bar code, and Security product categories represented 65% of total sales for the quarter with the remaining attributable Communications products.  POS, bar code, and security products worldwide had record quarterly sales and increased 1% over the prior quarter or 3% excluding the impact of foreign currency translation.  The increase is largely due to good growth in North America, partially offset by weak demand in international markets.
 Sales for communications products decreased 13% from the prior year quarter primarily due to the termination of the distribution agreement with Juniper and lower Avaya sales.
 The overall gross margin decreased to 9.94% or 26 basis points from the December 2011 quarter and 15 basis points sequentially.  The decrease from the prior year is largely due to product and customer mix.
 North America results include a higher level of big deals, which generally have lower margins than the run rate business.  The decrease in gross margin in North America was partially offset by a higher gross margin in our international segment.  The international gross margin increased primarily due to better vendor program attainment and the timing of recognizing these programs.
 SG&A expenses in the current quarter increased to $49.4 million compared to $48.5 million and $47.1 million in the prior year and sequential quarter respectively.  As a percentage of net sales, our SG&A expense ratio totaled 6.61%, an increase of 42 and 19 basis points over the prior year and sequential quarters respectively.
 Second quarter 2013 SG&A expenses increased primarily from $2.1 million in one-time cost associated with Belgium tax compliance and personnel replacement costs that Mike spoke about earlier.
 In addition, SG&A expenses include increase to bad debt reserves principally in Europe for customer specific situations.  Accordingly, the allowance for bad debts increased from $28.7 million at September 30, 2012, to $29.8 million at December 31, 2012.  While accounts receivable declined slightly.  These increases were partially offset by lower ERP expenses and lower employee costs during the quarter.
 Each quarter, we re-measure our earn-out for the CDC Brasil acquisition to fair value.  And second quarter, 2013, we recorded a fair value adjustment loss of $533,000.  This compared to a gain of $722,000 in the prior year quarter and a loss of $764,000 in the September quarter.  Factors impacting the fair value adjustment can cause volatility in this line item quarter-to-quarter.
 On a GAAP basis, operating income was $24.4 million, down from $32.1 million a year ago and $26.2 million last quarter.  As a percentage of sales, operating income was 3.3% in the current quarter compared to 4.1% in the prior year and 3.6% in the September quarters.  Excluding the $2.1 million in cost associated with Belgian tax compliance and personnel replacement costs, a non-GAAP operating margin for the December '12 quarter was 3.6%.
 Looking at the operating income by segment, North America operating income decreased 13.1% to $23.3 million from $26.8 million in the prior year.  The decrease in North America is primarily due to lower sales volume.
 Operating income for the international segment decreased to $1.2 million for second quarter 2013 from $5.3 million for the prior year period.  This decrease in internationally is due to the lower sales volumes, increased bad debt reserves in Europe, and cost associated with Belgian tax compliance and personnel replacement.
 Interest expense was $130,000 for the quarter.  And interest income was $532,000.  In September, 2011, we transferred $22 million to our Brazilian subsidiary to pre-fund a portion of the future earn-out payments and finance current operations.  With the annual earn-out payments and the use of funds for short-term working capital needs, these balances have declined reducing interest income.  The effective tax rate was 34% this quarter, down from 34.7% in the prior year quarter.
 Return on invested capital totaled 15.2% for the quarter compared to 19.3% and 17% in the prior year and sequential quarters respectively.
 In summary, diluted earnings per share totaled $0.59 for the current quarter compared to $0.77 and $0.63 for the prior year and sequential quarters respectively.  Second quarter, 2013, non-GAAP adjusted diluted earnings per share, which excludes cost associated with Belgian tax compliance and personnel replacement totaled $0.64 per share.
 Moving to the balance sheet, inventory turned 5.7 times during the quarter compared to 5.6 times in the prior year and sequential quarters.  We had 16.3 paid for inventory days at the end of December, 2012, up from 10.7 and 11.9 days for the prior year and sequential quarters respectively.  Paid-for inventory days are up versus prior periods primarily due to timing of vendor payments toward the end of the quarter.
 There are $34.2 million in checks written, but not cleared in the December accounts payable balance versus $52.9 million at September 30, 2012.  And $48.2 million at June 30, 2012.
 Our days sales outstanding, DSO, was 56 days at December 31, 2012, compared to 57 and 58 days in the prior year and sequential quarters respectively.  The improvement in DSOs was primarily related to customer specific collections in North America.
 Cash and cash equivalents on hand totaled $31.5 million at the end of the quarter compared to $24.2 million at June 30, 2012.  The company spent $1.2 million on capital expenditures during the quarter primarily on our investment in the new ERP system.  Through December 31, 2012, the company has spent or accrued approximately $38 million on the new ERP system of which $27.8 million has been in the form of capital expenditures.  During the second quarter of 2013, SG&A expenses included approximately $1.3 million of expenses for our ERP project.
 The company held $27.8 million of interest bearing debt at December 31, 2012, up from $17.6 million at September 30th, 2012.  Average debt for the December, 2012, quarter increased to $23.9 million from $16.6 million in the September 2012 quarter.  For the second quarter, 2013, we used cash from operations of $12.4 million.  Principally from the payment of a few large accounts payable balances at the end of December.
 I'll turn it back over to Mike for business unit comments and results. 
Mike Baur: Thanks, Charlie.
 I'll start with our North American segment.  This includes the United States and Canada.  And represents 73% of overall sales.
 In North America, sales of $548 million represented 3% decrease year-over-year and are basically flat sequentially.  North America POS and bar code team achieved record quarterly sales.  After lower big deals last quarter, this sales team closed more big deals in both point-of-sale and bar code with a higher average deal size.  And higher percentage of big deals contributed to a lower overall gross margin.  During the quarter, we also regained some market share with key vendors.  And had strong product segment growth in POS systems and mobility products.
 We have expanded the role of our technical services team as solutions consultants to better help our resellers solve their customers’ business problems.  This team is now focused on key high-growth vertical markets and technologies such as healthcare, mobile POS, and wireless.
 Our Security business unit had another quarter of excellent sales results with double-digit year-over-year growth.  As expected, sales were seasonally down from the prior sequential quarter as our Security business is seasonally higher from April to September with school and government projects.
 It was a record big deal quarter and we continue to gain market share.  We had strong growth in networking products fueled by our record quarter with Ruckus.  We also had record quarters with MOBOTIX, March Networks, and Bosch.
 Turning to North America Communications unit, this team had a record sales quarter with strong year-over-year and quarterly growth led by record quarters with Polycom, Plantronics, AudioCodes, and Sonus.  This growth included higher big deals for the quarter.  We had an excellent recruitment quarter for new ShoreTel resellers launching a record number of new ShoreTel customers.  As partner conference in November, ShoreTel named ScanSource Communications as its U.S. distributor of the year.
 In January, ScanSource Services began offering reseller training and certification programs for Polycom.  And our technical support team received 100% customer satisfaction in a Polycom annual survey.
 Catalyst Telecom sales declined from the previous quarter and year-over-year due to weakness with Avaya Enterprise product sales and due to the end of our distribution agreement with Juniper.  This quarter included no Juniper revenue compared to sales of approximately $26 million last year.
 In addition, we had fewer big deals this quarter.  Frankly, less than half the number we had during the prior year quarter.  We did have strong year-over-year growth however with Aruba.  And we have some new opportunities with Aruba, such as the Aruba Instant product for small businesses and branch offices.
 We recently expanded our Avaya relationship by adding the RADVISION video solutions, which include the SCOPIA video portfolio.  And we also have a better and a good mid-market opportunity with the new Avaya IP office release.  ScanSource Services continues to hold Avaya certification training classes on a frequent basis.
 So now turning to our international segment, which is 27% of our overall sales this quarter. The international net sales of $200 million declined 9% year-over-year and increased 6% quarter-over-quarter.  Excluding the foreign currency translation impact, net sales decreased 4% year-over-year and increased 4% sequentially.
 Europe POS and bar code had sales results ahead of plan.  Although down year-over-year, but our gross margins were better than planned.  Our European team had better attainment of vendor incentives. They improved inventory turns.  And they sold to a higher number of customers.
 While big deals were down year-over-year, it did increase over the September quarter though at lower margins.  With tighter market demand, some vendors took some big deals direct.
 In November, we held a successful Germany partner tour with record attendance of around 300 customers.
 In February, we are hosting a retail experience event with our newest point-of-sales vendor, Wincor Nixdorf to launch sales of their ePOS solutions to our customers.
 Our Europe Communications business unit had top line sales that exceeded our plan with record quarterly sales from Avaya, Acme Packet, and AudioCodes.  Lower margins for bigger deals and a product mix that included more data sales contributed however to lower gross margins.
 We recently made some vendor changes here expanding our relationships with Avaya and ShoreTel and ending our distribution of Juniper.  With Avaya, we have added RADVISION’s video conferencing solutions to our European product offerings.  And last week, announced the addition of Avaya in France.
 With ShoreTel, we are expanding our distribution to include the Germanic region and the Benelux regions.
 In Latin America, our business includes operations in Brazil, Mexico, and Miami where we served the U.S. based exporters, the Caribbean, and the rest of South America.  In Brazil, our sales results are consistent with the slower economic growth in the country and the results of our key vendors.  Sales in local currency grew year-over-year, but declined for the sequential quarter.
 We had fewer big deals due to the weaker economy and stronger competition for projects.  However, our margins came in better than expected.  We have recently signed NCR and Ingenico as new vendors.  And we have recently held sales campaigns with Bematech and Motorola to drive sales into new customers and markets.
 In Miami, slow sales for the month of December contributed to lower quarterly sales.  Year-over-year, we had good growth from AIDC and security vendors and good growth in Colombia, Panama, and El Salvador.
 During the quarter, we held reseller training sessions including IP video training in El Salvador and Motorola training in Colombia.
 In Mexico, we had a record sales quarter and good quarterly growth from most vendors though we still missed our sales plan.  In November, we held an event to launch ScanSource as a new Plantronics distributor in Mexico.
 Turning now to our next fiscal quarter, we believe net sales for the quarter ending March 31, 2013, could range from $675 million to $695 million.  And our earnings per share could range from $0.48 to $0.50 per diluted share.  This sales range is consistent with our typical seasonal declines from the December to the March quarter.
 At this time, we'll be glad to answer your questions. 
Operator: [Operator instructions]  Our first question will come from Anthony Kure of KeyBanc. 
Anthony Kure: Just to start with the guidance, you mentioned that typical seasonal decline for the March quarter is implied in your guidance.  So I guess that answers that question, but I guess, you know, when I look at the margins, if I take the, you know, the mid-point, that $0.49, it implies, you know, operating margins coming down pretty substantially to about 2.9% is sort of my math at the mid-point of your guidance on the top line.  I guess, what would be the main driver of that margin decline on that revenue level?  Last time I had you in this range at 6.85 [ph], you know, margins were above -- operating margins were above 4%.  Could you just talk about the difference there? 
Charles Mathis: Tony, this is Charlie here.  Let me take that one.  Basically looking at the guidance, the mid-point, if you look at the March 2012 quarter, the characteristics of margins are very similar. The slightly, slightly higher gross margins than March 2012 and slightly less operating margins this year compared to last year.  So they’re very, very much in line with what happened in March 2012 and if you use a 34% tax rate, you’ll pretty much come out with the number there. 
Anthony Kure: Okay.  So there really isn’t anything changed within the last 6 months, it’s really just a reflection of the lower volumes, that’s the big culprit for the margins? 
Charles Mathis: Yes, that’s right. 
Anthony Kure: Okay.  And then, okay, so then if I look at the December quarter, you know, we heard a lot about that in other businesses, folks talking about the fiscal cliff or, you know, the uncertainty here in the U.S.  Did you experience or have any hesitancy among your customers maybe pushing projects out sometime within calendar 2013, any hint of that? 
Mike Baur: Well, I think, Tony, the only thing that we would say that surprised us, okay, and that might have part of that was I think I referenced a couple times on the call, we were disappointed with our results in Catalyst and the Catalyst business typically is a big project business for us.  And in the December quarter, we normally have some big deals that happen very late in the quarter and I would say we were disappointed with some of the projects or big deals that did not happen in December in Catalyst.  We don’t know and we never get full visibility into how many of those projects are temporarily pushed or were any of them canceled, but that would be the one place that I would say we saw some weakness and we would -- we can only assume it was a more macro event.  Again, the Catalyst projects generally are larger than any other business unit we have so that would be the one place I would point to. 
Anthony Kure: Okay.  And if I could just take it a step further on the seasonality, if you could just maybe provide some insight, you know, obviously you did for the March quarter.  What is the typical seasonal trend into the June quarter as far as your records go?  I know it’s up, but I’m just wondering how much is the June quarter typically up? 
Mike Baur: Yes, and one other comment too on that seasonality trend, if you go back and look at what we sold in Juniper last year in the March quarter, we really don’t have a decline year-over-year and we don’t have a -- it’s a -- it’s actually, we’re flat year-over-year.  And normally what happens is we do have a spike back up in June.  We have had almost every year a stronger June than we do in March.  Most of our vendors, as you know, don’t really get all their programs in place in as early in the March quarter as we would all like and they would all like, so we really don’t see a lot of programmatic demand generation activities until late in the first quarter and then that results in sales in the June quarter. 
Anthony Kure: Okay.  So I mean, sequentially though, you’re going to not have Juniper in the March quarter and you’re not going to have Juniper in the June quarter. 
Mike Baur: That’s right. 
Anthony Kure: So would you care to take a guess at -- I mean, would that materially move the “normal seasonality” then because of the absence of Juniper? 
Mike Baur: No, no.  I don’t think so.  I think we’ve always had a March to June increase, always. 
Anthony Kure: Okay, is it a double-digit increase before Juniper? 
Mike Baur: Well, you’d have to go back and look and look at the quarters.  I don’t have -- I’ve got probably 2 quarters here in front of me.  Let’s just see.  So in ’11, 2011, calendar year, we went from $614 million to $734 million.  And in ’12 we went from $707 million to $754 million.  So there’s 2 numbers for you. 
Operator: Our next question will come from George Iwanyc of Oppenheimer. 
George Iwanyc: When you look at your guidance, can you give us some more color on which areas you’re concerned about, and which areas you see as stronger and potentially as sources for upside? 
Mike Baur: George, this is Mike.  I’ll tell you, just in general, if you think about what we just experienced, we saw, I would think almost surprising good demand in North America.  We would have thought that our International business would have done better than it did, so based on how we exited December, we expect North America to still be okay.  And our expectations would be that we would improve our results in our International operations and we certainly are still very excited about the growth we’re seeing in our Security business.  Our Security business saw significant double-digit growth again year-over-year and so we believe that that is still a good place for us to invest, is in our physical security business here in the U.S. 
George Iwanyc: Okay.  And you know, when you look at various segments, can you give us an idea of how much mobility and Wi-Fi is contributing to each area and what this mix looks like over the next few quarters? 
Mike Baur: We don’t break out the numbers specifically, but I can give you some general trends that we’ve seen, and for sure over the last couple years, our whole AIDC business has been impacted by the move to mobility, for sure.  And the robustness of the mobile devices, they’re all Wi-Fi now and so, you know, years ago that wasn’t the case.  So that’s also, I think, been additive this year because you’ve got so many enterprises that are adding employee-driven devices, the BYOD movement definitely also impacts our business.  So you’ve got the personal and corporate enterprise devices as well as the devices people bring from home, we’re seeing a strong demand in our wireless vendors, frankly, across the board, whether it’s Ruckus, Aruba, our Cisco Wireless practice, we’ve got what we believe -- and Motorola as well, we believe we’ve got a very strong wireless offering and those vendors have all done very well with us this year.  And we would expect that trend to continue. 
George Iwanyc: Are the deal sites getting bigger in those areas and are there certain end-customer areas that are doing better, you know, hospitality or education? 
Mike Baur: I don’t have a lot of data on that.  We don’t always know where our resellers sells it into the end market.  I would say not necessarily. I would say to you that most of our deals are in the small-to-medium enterprise place -- space more so than they are in large enterprise. 
George Iwanyc: Okay.  And just following up on that, you mentioned the new Aruba Instant products specifically.  You know, how do you see that product line positioning in the small-to-medium business space and what kind of opportunity do you have with that? 
Mike Baur: Well, our team is excited about the fact we’ve got a strong offer there that we believe gives our customers who have not been in the wireless space recently, who have not made a lot of investments in their installation support teams, they’ve got an offer here that is easy for a customer to deploy and to add value to.  So we actually like the characteristics of this product.  It’s easy to -- easy to sell, easy to deploy and our customers make good margins on it.  So for us, we think that’s a good -- those are good signs for success this year. 
Operator: [Operator Instructions]  Our next question will come from Chis Quilty of Raymond James. 
Chris Quilty: I was wondering is it fair for us to assume that the personnel departures and the tax issues in Europe were probably related? 
Mike Baur: Yes. 
Chris Quilty: And are there any lingering issues there to be concerned about? 
Mike Baur: No. 
Chris Quilty: So primarily, accounting issues and nothing really related to -- nothing that would impact operations or sales? 
Mike Baur: That’s right.  I think the amount of money that we indicated was an expense in the quarter.  We believe that’s the appropriate accrual for this entire issue. 
Chris Quilty: Okay.  And I may have missed it, but I mean, I think you talked in general about vendor programs and when they kick in, but at this point, have you renegotiated most of your vendor programs and are you satisfied where they’re falling out? 
Mike Baur: Yes, Chris, so again, we’ve -- you’re right.  We thought about that probably the most I can ever remember because what happened in ’12, 2012 calendar year was every vendor came into ’12 with higher expectations than the channel delivered.  We weren’t alone in struggling against some of the targets.  I think as we’re starting to see some of our vendor results communicated to us in the last couple weeks and into the public market in the last few days, we think that our vendors clearly didn’t perform themselves the way they wanted to so we’re hoping that as we sit down with them this quarter and start establishing goals for the year, for the calendar year and for each quarter, that we’ll have goals that represent our efforts and represent our investment and we get an appropriate margin for that.  So some of that is still work to be delivered by us and our vendors and then the story I think will be more clear to us in April on our next call. 
Chris Quilty: Got you. And you had mentioned you still like security and see it as an area of investment, is that -- are there still acquisition-related investment opportunities, or is that mostly internal through sales and vendor recruitment, and those types of activities? 
Mike Baur: It’s more the latter. It’s because we’re getting additional comfort that the vendors are not happy with the distribution landscape. And what they’re communicating to us is that they would like to see fewer distributors in the marketplace in general, and that’s something that we have certainly tried to encourage for our benefit. But we believe that if we continue to have a valuated model, that we will be rewarded for that, and that some of our key vendors are starting to recognize that. So, we’re encouraged by some of the vendor comments around -- we really like what you guys do as a distributor 2-tier only, value added.  We do a lot of training/education, as you know, and we believe that more vendors will start rewarding us for that. And so, that’s why we would be willing to do things like invest in more business development people, have more marketing programs that are monies that we’re spending in advance of earning reimbursement or co-op money from vendors.
 So, that would be the kind of investments. Today we’re not looking at an acquisition that would part of that thinking. 
Chris Quilty: Okay. And final question on the Catalyst business, the disappointing Q2 results here. Do you see that as more of an isolated quarter issue, or are there bigger problems with the product line or the end-market that might have an indication for, you know, Q3 and looking forward? 
Mike Baur: Well I try not to tell any vendor’s story in too much detail, especially if it’s one that they haven’t been in the marketplace telling, and Avaya is not a public company these days.  But clearly, we were disappointed and so we expect that Avaya is too.  And so, we would expect their management team and their product teams would figure out what it is that resulted in a lack of performance. So, maybe the easy answer is, we expect it to get better. We’ve not heard anything that tells us this is something that Avaya can’t fix. It’s not like they got beat because their biggest competitor stole a bunch of deals from them in the last 2 quarters at the expense of our channel.  We haven’t heard that. So, it’s more some things that Avaya can address and fix, and we believe our channel partners are standing by ready to go sell the products that they have.  It’s not a product or a technology question, it’s an execution point. 
Operator: [Operator Instructions]  Our next question comes from Rob Crystal of Goldman Sachs. 
Robert Crystal: Mike, I was hoping you could touch on the NCR relationship as a new vendor sort of in the scope of when a new vendor, how long it takes to ramp to what you would call a more steady state?  Is it a year, 2 years?  How does that work? 
Mike Baur: Yes, Rob.  We’ve always been hesitant to put a timeline on new vendor results because the story would always be that the vendor wants us to sell to totally new customers and we want to sell to some of their existing customers and so there’s this balance between how much business can we go after today with our existing knowledge of how we sell their technology, who do we already have relationships with, though generally dictated by how many of our existing customers are selling a product like NCR.  So our issue right now is, there’s not a lot of them doing that.  It’s more of a greenfield opportunity even for NCR.  There’s not this large backlog or this large inventory of customers who have been asking for ScanSource to be approved as a new distributor.  So it’s a little different than some of our other vendors where there’s already an existing channel and they need 2-step distribution to enable the channel.  So that’s why this one will take longer and I would say certainly we don’t expect it to be material to our revenues over the next couple quarters. 
Robert Crystal: And then sort of back to Chris and Tony’s questions about margins, is it fair to think of next quarter as a lower gross margin quarter until you are able to negotiate sort of the terms for the year?  Do you have to accrue at a lower level until you have what we’ll call more normalized to, you know, targets or what have you? 
Mike Baur: Yes, that’s actually probably fair.  That’s probably fair to say that we’re -- we do count on these programs to award us for our investments in value-add services and so our SG&A is built on an assumption for gross margin by key vendor.  And so, yes, I think that’s a fair way to describe it. 
Robert Crystal: And then I guess with the -- would sort of the converse be true, which is if you can’t get sort of more, we’ll call them ScanSource fair terms, would you look to manage operating expenses differently to drive back towards historical operating margins? 
Mike Baur: Yes, yes.  We would do 2 things. We would, one, be very clear with the vendor before we do that so we don’t surprise them. And historically, those are conversations we have on a routine basis on a quarterly -- we have a quarterly business review cycle with our top vendors anyway, so they’re already aware that we’re concerned about our SG&A and the second piece of it is we’re equally concerned about our investment in the balance sheet.  So we’re looking at our inventory turns and our payment terms with those vendors where we have lower gross margins than we would normally have preferred and, frankly, deserved to provide the services we’re doing.  So it’s a combination of a look at the expenses and a look at the balance sheet investment that we will be talking to them about. 
Robert Crystal: And I guess the last one and then I’ll cede the floor would be, when you have -- have had situations like this in the past, Mike, your success in, shall we call it getting what you want tends to be pretty good or how should we characterize that? 
Mike Baur: Well, I think we’re in a little bit of unusual territory in that if the vendors aren’t growing, it’s harder for us to be that -- as successful. So I’m just being honest on that.  If our vendors don’t grow this year, it’s going to be hard to accomplish that.  So I am expecting that the market for our vendors will be better in ’13 than ’12.  If that doesn’t materialize, then we’re going to be challenged to convince them, so then we’ll have to take some actions and I think they will not like it but they will, at least, understand it. 
Operator: Our next question will come from Keith Housum of Northcoast Research. 
Keith Housum: Mike, can you shed a little bit of a light on what’s happening in Brazil and the inability to spread the business into the unified communications and the physical security space?  Any success in doing that? 
Mike Baur: Yes, so -- that’s Keith. We’re not doing anything in physical security at this stage, it’s unified communications for sure.  We’re talking to our key vendors there, no big vendors yet signed.  AudioCodes has been signed.  We’re looking at talking to some of the wireless networking vendors.  We’re certainly talking to the Avayas and the Polycoms and the ShoreTels, et cetera.  So it is a situation where we believe there’s room for another distributor for those companies, but it clearly does take a longer time than we like to bring that to fruition.  So in the same time, as you know, our bar code business in that region has not grown as fast as we had wanted it to and as we had hoped it to when we first made the acquisition.  So the management team is making sure that they’re not forgetting that they fundamentally are in the bar code  and POS business right now and that’s why they’re trying to sign a few key vendors like NCR, like Ingenico, and then working on the communications business when they have extra cycles. 
Keith Housum: Okay.  And the lack of growth or the discipline in the growth in the bar code sector, is that a function of the -- of FX translation or is it a function of the Brazilian economy or what do you think is driving that down there right now? 
Mike Baur: Well, I think our team would say it’s more economy driven.  I think the reality is we have a significant relationship with a vendor there that is unique from the rest of our portfolio, a company called Bematech, they’re a principally a printer vendor.  They’re a large player in the marketplace, the dominant receipt printer company in Brazil and we benefited when we started with them and made the acquisition that we were the only distributor.  They did sign another small distributor shortly after we made the acquisition, so they -- in their business itself, they’re public in Brazil, their business has not grown like they wanted it to in the printer business in the last 2 years.  So we’re somewhat dependent upon their success, as you know, that’s typical for ScanSource.  There has to be some growth from our vendor if -- unless they’re going to ship more business to channel.  In this case, there’s not a lot more shift business.  They do have some direct resellers and we do sell to some of them but that’s not a huge opportunity for us that we’re working on right now.  So we are dependent on the other vendors in the portfolio to drive our growth, the Motorolas, the Zebras, the Honeywells and those are the key vendors that we’re spending more of our time with because they represent growth for ScanSource down in Brazil. 
Keith Housum: Okay.  And I apologize if you guys covered this already before, but in the physical security segment just as a whole, you talked in the past about trying to consolidate some of your vendors, can you spend a moment talking about are you seeing the more consolidation among those vendors and how are you guys coming in terms of consolidating your linecard and concentrating on just your best and brightest? 
Mike Baur: Yes, I think we have done some of that already and that as a distributor, you don’t like to separate from vendors, you know, you tend to focus or emphasis the ones that are frankly bringing you the profitability and the growth.  And so we believe we’ve got us a strong relationship with our key security vendors today.  We believe that some of them have already shown us through their actions that they’re willing to put more emphasis on 2-tier value-added distribution like ScanSource at the expense of some of their traditional distributor partners.  So today, we’re getting better comments that our vendors, the key ones, prefer to have fewer distributors and that over time, that will be to our benefit. 
Keith Housum: All right.  And I’m assuming you guys still aren’t breaking that out, correct? 
Mike Baur: That’s correct. 
Operator: [Operator Instructions] And we have no further questions at this time. 
Mike Baur: Thank you for joining us today.  Our next conference call to discuss March 31 quarterly earnings is expected to be on April 25, 2013. 
Operator: Thank you for your participation on the conference call today.  At this time, all parties may disconnect.